Operator: Greetings and welcome to A-Mark Precious Metals' Conference Call for the Fiscal First Quarter Ended September 30, 2018. My name is Kevin, and I will be your operator today. Last night, A-Mark issued the results of its fiscal first quarter 2018 in a press release, which is available in the Investor Relations section of the Company's website, at www.amark.com. You can find a link to the Investor Relations section at the bottom of the homepage. Joining us on today's call are A-Mark's CEO, Greg Roberts; President, Thor Gjerdrum; and CFO, Cary Dickson. Following their remarks, we will open the call to your questions. Then, before we conclude today's call, I'll provide the necessary cautions regarding the forward-looking statements made by management during this call. I would like to remind everyone that this call will be recorded and it will be available for replay via a link available in the Investor Relations section of the Company's website. Now, I would like to turn the call over to A-Mark's CEO, Mr. Greg Roberts. Please go-ahead sir.
Gregory Roberts: Thank you, Kevin and welcome everyone. Thank you for joining us this afternoon. As you can see from our earnings release, our financial results for the first quarter were impacted by the continuing subdued conditions in the precious metals market. We believe we are gaining market share and continue to look for ways to do more business in the current environment. To that end, we are judiciously investing in growth areas to further diversify our business and offerings with the objective of being in a stronger position to capitalize on profitable opportunities when market conditions improve. One area of focus is our development of automation tools to meet the expanding requirements of our existing customers as well as new customers, including customer facing account management tools, enhancements to our online portal and tools which will enhance our expanded trading hours. Another area of focus is distribution through our acquisition of Goldline, a leading direct retailer of precious metals to the investor community which we completed at the end of August. As I talked about on our last call, this acquisition presents a substantial opportunity for us to leverage Goldline's marketing platform to up sell and cross sell our suite of services to Goldline's 150,000 clients as well as their prospective client lead. It's been a very busy, first three months since the acquisition, but I am pleased to report that the integration is moving forward as planned and we are already realizing sales and logistic synergies across both organization. I plan to talk more about Goldline as well as some other operational highlight shortly. But first, I would like our CFO Cary Dickson to walk us through the financial details for the fiscal first quarter of 2018. Then our president Thor Gjerdrum will discuss our market positions and key operational metric. Afterwards, I will return to talk more about operational progress and initiatives as well as our outlook for the next few quarters. Cary?
Cary Dickson: Thank you, Greg and good afternoon to everybody. Turning to our financial results for the fiscal first quarter ended September 30, 2017 which included approximately one month of the results from Goldline. Our revenues increased 20% to $2.16 billion from $1.81 billion in the same year ago quarter. The increase is revenues were mainly due to higher forward sales partially offset by a decrease in the total amount of gold and silver prices and ounces sold. Our gross profit decreased 9% to $7.3 million or 0.3% percent of revenue from $8.1 million or 0.4% of revenue in the same year ago quarter. The decrease in gross profit was primarily related to a decrease in the total volume of gold and silver ounces sold and trading profits. Partially offset by increased gross profits from our new Goldline subsidiary. The decrease in. volume of gold silver ounces was primarily related to slower market conditions in the current period compared to the same year ago quarter. Now, turning to our expenses; our SG&A expenses increased 23% to $7.0 million from $5.7 million in the same year ago quarter. The increase is primarily due to the acquisition of Goldline on August 28, 2017 whose September results are included in our consolidated earnings for Q1 fiscal 2018 partially offset by a decrease in performance based compensation expense. Our interest income increased 10% to $3.2 million from $2.9 million in the same year ago quarter. The increase in interest income was partly due to an increase in the size of our loan portfolio which generated an increase in interest income of $0.4 million as compared to the same year ago quarter an increase of 21%. Interest expense in the first quarter increased 22% to $2.7 million from $2.2 million in the same year ago quarter. The increase was primarily due to greater usage of our line of credit, our new Goldline credit facility and other products financing arrangement. The increase is also due in part to higher LIBOR interest rates which went into effect subsequent to the Federal Reserve rate increases and increased amortization of loan facility cost. Turning to our profitability metrics, our net income increased 75% or decreased I should say 75% to $478,000 or $0.07 per diluted share from $2.0 million or $0.27 per diluted share in the same year ago quarter. This decrease in net income was primarily due to lower physical sales volume. Now turning to balance sheet; at quarter end, we had $8.5 million worth of cash on our balance sheet. As you evaluate our balance sheet, it's important to remember that we are a net borrower and we typically pay down our balances daily to minimize interest expense. It's also worth note mentioning that at the end of the quarter we had $7.5 million of long-term debt related to our acquisition Goldline. The debt was used in its entirety to finance the predominant portion of the purchase price. Our tangible net worth totaled $54.1 million or $0.076 per diluted share which compares to $60.1 million or $8.44 per diluted share at the end of the prior quarter. The decrease relates primarily to the acquisition of Goldline's non-tangible assets during the quarter. And finally, on November 13, 2017 our Board of Directors declared a regular quarterly cash dividend of $0.08 cents per share reflecting their continued confidence in our balance sheet and our commitment to maximizing shareholder value. The cash dividend will be paid on or about December 13, 2017 to all stockholders of record as of November 24, 2017. This completes my financial summary. Now, I will turn the call over to Thor, who will provide an update on market conditions and key performance metrics. Thor?
Thor Gjerdrum: Thanks Cary. Turning to our key operational metrics for the quarter; our first key metric gold and silver ounces sold, represents the ounces of metal you sell and deliver the customers during the period excluding any ounces reported on forward contract. As I've talked about on prior calls, this is an important metric because it reflects the volume of business we are doing without regard to changes in commodity pricing which figure into revenue and can mask [ph] underlying business trend. As Greg alluded to in his opening remarks, with historically low sale levels at the US mint reinforced by the strength of U.S. equity markets as a whole, we continue to face headwind which impacted demand for precious metal. In fact, sales this year of American Eagles, a popular gold coin and a proxy for retail sales of physical gold have fallen to their lowest level since 2007 according to United States mint. So, with that in mind, during the first quarter we sold 332,000 ounces of gold which is up 40% percent from the prior quarter, but down 37% from fiscal Q1 of last year. Turning to silver, during Q1 we sold 14.5 million ounces of silver which was up 3% from the prior quarter but down 33% from Q1 of last year. The second key metric we track an equally significant measure of our business is trading ticket volumes. This metric tracks the total number of orders processed by our trading desk in Europe and the U.S. For those newer to our company in periods of high volatility, there is generally increased trading in commodity market and increased demand for our products, which translates into higher business volume. During Q1, our trading ticket volumes increased 6% to 29,833 tickets from the prior quarter and increased 35% from Q1 of last year. Both the sequential and year-over-year increase was primarily due to higher use of our online trading portal by our customers. It's important to point out however, that a portion of the increase in ticket volume is because our online training portal allows smaller minimum order sizes. The third key metric we evaluate is inventory turnover, defined as the cost of sales during the period divided by the average inventory during the period. As many of you know inventory turn is a measure of how quickly inventories move. Those who have followed our company know that we typically experience a higher inventory turnover ratio during periods of increased volatility when trading is more robust reflecting a more efficient use of our capital. For the first quarter our, inventory turnover ratio was 7.2 which was up 71% from 4.2 in the prior quarter and up 9% from 6.6 in the Q1 of last year. And finally, the four-key metrics is the size of our lending business, which is determined by using the number of secured loans we have at the end of the quarter. The number of loans we secured at the end of the quarter was up 3% to a record 2454 from the end of the prior quarter which was up 47% from the end of Q1 last year. The significant year-over-year improvement in the number of your secured loans was primarily through the acquisition of bullion-based loan portfolio. At September 30, 2017, the dollar value of our CFC loan portfolio totaled $88.9 million down 3% from the prior quarter but up 7% year-over-year. That concludes my prepared remarks. I now turn it back over to Greg to talk about the progress we've making in our key operational initiatives as well as our outlook. Greg?
Gregory Roberts: Thanks Thor. From an operational standpoint in the third quarter, we continue to focus on activities and efforts related to expanding our trading capacity adding new value-added services and also making strategic acquisitions to more vertically align our operations. Along that line, our acquisition of Goldline marked the culmination of a three-pronged vertical integration strategy. First, with our Las Vegas logistics facility; followed by SilverTowne mint in 2016, and now Goldline in 2017 to build a world class vertically integrated precious metals company. For those of you that didn't have the benefit of listening to our last call, Goldline has delivered gold, silver, and platinum coins and bars to collectors and investors globally. To put some numbers around it, since 2000 Goldline has distributed more than $4 billion of precious metals. The unique combination of Goldline sales and marketing expertise coupled with our platform of products, logistics, and storage expertise creates an unparalleled partnership for global precious metals distribution. I am pleased to report we have fully integrated Goldline's inventory management to our Las Vegas logistics facility. We've written the first CFC loan to a Goldline customer and we have begun Goldline IRA storage in our Las Vegas facility. With the acquisition of Goldline, we inherited a client base of more than 150,000 individual investors. Many of whom have proven to be exceptionally loyal and recurring buyers making them ideal consumers to benefit from our products, services, and minting capabilities. As I mentioned at the outset, the integration and consolidation of Goldline into our operations is moving forward as planned. In fact, Goldline is now shipping all of its packages to our Las Vegas logistics facility. We expect to complete the full integration within the next six months. The results in Q1 of fiscal 2018 for Goldline represent activity from August 28, 2017 when we close the transaction or 32 of 90 calendar days. During that period, Goldline revenues were approximately $3.5 million selling approximately 2,000 ounces of gold and 20,000 ounces of silver with a gross margin percentage of approximately 16%. Based on performance and our integration initiatives, we are seeing thus far in Q2 of fiscal 2018 and based on our ongoing integration efforts as expected we expect to see Goldline as a drag on our full second year quarter results. From a financial standpoint, we're taking the appropriate measures to realize financial synergies between A-Mark and Goldline including reducing costs wherever possible. This included consolidating Goldline's vault and logistics activities as I mentioned as well as tightly managing advertising spend to better align it with Goldlines revenue level. As I mentioned on our last call, we believe the Goldline business could surpass $10 million per month in gross sales within the next 12 to 18 months. But in the near term, we are focusing on optimizing its cost structures and efficiencies as well as driving growth through attractive cross and upsell opportunities with the Goldline customer base. In turn, this will further enhance our business with the goal of creating even more predictable revenue streams. As we look forward to our present quarter, I'm encouraged to report that demand for precious metals picked up slightly in October although it was still down from the levels we experienced in prior years. Despite the fact that these tepid market trends are expected to persist in the near term according to industry and analysts, we remain cautiously optimistic, increasingly watchful of the geopolitical climate and are aware of its ability to affect immediate change on the precious metals environment. I am pleased to report our Las Vegas logistics facility is in the final stages of working towards approval from GoldStar Trust Company for onsite IRA storage. GoldStar Trust Company is a division of Happy State Bank with over 25 years of experience as a self-directed IRA custodian, trustee an escrow paying agent. GoldStar was established in 1989 and currently has approximately $2 billion in assets and more than 37,500 self-directed IRA accounts under its custodian program. The addition of GoldStar would represent a key opportunity to grow our Las Vegas storage revenues. So, in summary, we've made significant progress along our strategic roadmap positioning us effectively for the future. Moving forward, we aim to leverage that progress as well as our diversified business model to further expand our margins and capitalize on a more favorable market environment. Now with that, we are ready to open the call for your question. Operator, please provide the appropriate instructions.
Operator: [Operator Instructions] Our first question today is coming from Sarkis Sherbetchyan from B. Riley FBR. Please proceed with your question.
Sarkis Sherbetchyan: Yes. Thanks for taking my question here. Real quickly on the higher sales of forward contract. Can you maybe give us some color on maybe how that impacted gross margins and perhaps if you expect to engage in similar levels of forwards contract sales in future quarters?
Gregory Roberts: Sure. So, the company - it's cost only entering into forward contracts. We use forward contract and futures in combination to hedge our inventory. Forward contracts are recognized as revenue. In the quarter, we just completed here that we have higher than usual hedges in forwards versus futures and typically the decision at our trading desk is a result of our cost benefits to being more heavily into forwards or futures. There are cost benefits to being in the forwards this quarter. As a result, we had a much higher volume of forwards that futures in this last quarter. What happens to margins as a result is those forwards are effectively done at close to no margin, so you have higher revenues which then result in showing a lower gross profit percentage even through the gross profit percentage on the physical volumes didn't deteriorate incrementally quarter-over-quarter that percentage is impact by those higher forward sale.
Sarkis Sherbetchyan: Understood. So that forward sale is going to really kind of depend quarter-to-quarter, right? I mean that's not really a run rate going forwards, is that the right way to think about it?
Gregory Roberts: That's exactly why we provide the ounce volumes. That's right. So, we really can't predict what level of hedging we are going to do in forwards or futures. It's just going to depend which method is more cost effective and that's the decision made at our trading desk. But the way you can - that's exactly why we provide the ounce volumes. You can look at the ounce volumes to see what the physical trends are our revenues can be significantly impacted by higher or lower level of forward sales.
Sarkis Sherbetchyan: Understood. And I think, you just mentioned that the gross margin on the physical volumes didn't deteriorate in the quarter. Can you maybe give us some comments on what's the spread in the quarter as well as what you are seeing in the current quarter with regards to those trends?
Gregory Roberts: Yes. Really the last, going back to Q4 of fiscal '17 and Q1 of '18 and even in this current quarter, the margins in all of those have been lower. The spreads have been pretty tight. They've remained in that range, maybe even tightened slightly. But I wouldn't say there has been a material continued deterioration in margins, but I qualify that with in general 90 days back, the last 90 days you have seen compressed margins and we are continuing to see those trends.
Sarkis Sherbetchyan: Got it. And then just kind of moving on the Goldline, I think you mentioned in the prepared remarks that revenues were $3.5 million was that the right number?
Gregory Roberts: For the period, since we closed the deal correct.
Sarkis Sherbetchyan: And then on the three month basis, I mean are the revenues fairly consistent or is there a little bit of lumpiness in that quarter. So just kind of thinking about revenue to your insight this quarter what would you think revenue has been in the business?
Gregory Roberts: Like I said in the subsequent remark, I think that we believe the right balance of sales is around what we could achieve is around 10 million per month. They have been there before. But I think what we're most focused on right now is finding the right level of sales that add to the P&L. So, there's a little bit of a balance right now. We're not so much worried short term in the next couple quarters about how much they sell per month, what we're most concerned about is managing the expense side of the business. Now one of the benefits to the purchase was they have had declining revenues over the last 12 months and we felt that we were most focused on the actual asset purchase and what we were paying for the assets. Our first goal is to size the model properly and we believe that their current run rate should be in the 3.5 million to 5.5 million per month range. But we believe that there will be ways to grow it and that has a lot to do with balancing the advertising and marketing expenses along with the margin charged. Goldline has been historically a higher margin company and one of the things we're focusing on is what is the right balance of margin versus achieving the most sales in combination with marketing expenses. So, those are some of the things that we're working through this quarter but we feel initially that what we're seeing, how we're feeling about the assets we purchased is that we're very excited about the potential. We just believe that our knowledge of the market and our ability to help Goldline manage the mix between profit margin and sales is something that we're going to be able to help them with, so we're working on that right now.
Sarkis Sherbetchyan: And then I see in the 10-Q that was filed at the pre-tax net income for this business was around breakeven, a little profitable. Do you still expect the business to be at this level of profitability or kind of breakeven in the first half and then accelerating profitability in the back half?
Gregory Roberts: I think that our Q2, the quarter win rate now as we are making some changes and as we are working through integration and like I said finding the perfect mix of profit margin versus sales and advertising. We are going to see a drag this quarter on the overall A-Mark performance from Goldline as I said. But we feel very comfortable and this is something we anticipated when we modeled out the business, that the third quarter and the fourth quarter will contribute. This quarter as we went into this, we anticipated this quarter would be, we would have some work to do on it. Now that's anticipating the current market environment. What we did see in September was with Goldline there are significant upside to their model with macro events and global political events and Goldline reacts to those much more materially and quickly then maybe A-Mark's wholesale customers do. So, what we saw in September when there were some outside influences particularly threats from North Korea and some other issues, we see Goldline respond to that very quickly. So that it's difficult for us at this moment to kind of predict exactly what will happen in the next six weeks in this quarter. But we believe that what we're seeing is just a tremendous potential for A-Mark as a whole when this client base responds and when they purchase and that can be a little bit sporadic and it can have a lot to do with price movement of gold and silver but as they are retailers it's much more dependent upon what the retail mindset is.
Sarkis Sherbetchyan: Very hopeful. I will hop back in the queue. Thank you so much.
Operator: Thank you. Our next question today is coming from Mitch Almy from Wedbush Securities. Your line is now live.
Mitch Almy: Hi guys.
Gregory Roberts: Hello Mitch.
Mitch Almy: I was hoping you could go to the interest expense line. If the difference between the interest income and interest expense, because interest expense grew comfortably more and if you could breakout maybe how much of the additional borrowing was separate from your loan book and how much that accounted for the I guess the shrinkage and net interest income that's going to occur if both those lines keep growing in a straight fashion?
Gregory Roberts: Right. The interest income expense has - is directly affected by what the loan book is doing and what we're getting from our CFC business in particular. The other big component of interest income is - of interest expense has to do with our inventory financing and how we carry the inventory and how fast the inventory is turning. Remember that we're fully hedged, but we do choose to carry certain inventories which are either in our balance sheet as inventory or they might be purchase financing that we do off the balance sheet which we described in the queue. Those components of cost are reflected in the interest income, I mean the interest expense. The increased income line is almost solely to the interest we collect from the CFC loan customers, which is why you can see an imbalance here and why it doesn't necessarily increase or decrease proportionately. I believe that in the current quarter, we are seeing opportunities to buy inventory at discounts because of the slow demand what we're buying a number of. secondary market products that are coming on to the marketplace through liquidations that we're able to buy what we think is a very favorable premium over the metal content. So, I think that one of our conscious decisions right now is that we believe that for a very short-term cost and for a low cost we have consciously taken advantage of some buying opportunities to carry a bit more inventory in anticipation of selling that inventory and hopefully realizing a larger margin in the future.
Mitch Almy: So, compared to past quarters you are going to makeup in gross margin what you're giving up in interest expense right now as opposed to just running a match book of both.
Gregory Roberts: Correct. I mean it's obviously calculated risk versus reward. We do have finance products that we utilize right now that will finance inventory at what we think is a favorable rate in anticipation of increased premiums in the future. That may or may not transpire but we believe that if people are willing to sell us product at below replacement cost right now just due to the fact that the market is slow and people are more likely to just not hold inventory themselves but to off it on us, we're happy to take that. Again, it's fully hedged. So, it's just really a premium opportunity that we believe we would rather hold certain inventory, a little bit more inventory right now then to sell it into the marketplace at the current premiums.
Mitch Almy: Okay.
Gregory Roberts: So, we're not going away from our model as it relates to that we don't speculate on the price of metal and that we're fully hedged. But we do, and have historically when we feel there is an opportunity, we will speculate on the premium and that's what's happening right now. We're selling it. One of the reasons the mint sales are down particularly on gold ounces is that they are - the market has transitioned into more secondary backdated gold coins U.S. Eagle in particular and Maple Leaf's being available on the marketplace that we're buying and that we're selling or holding and that demand for those products are coming to us and we're still making the sales but we're making in products we're buying on the secondary market as opposed to us ordering from the mint every time we get an order for Eagle. So, it's a little bit connected and yes, the demand is down and yes, the mint is selling fewer ounces, which we've highlighted. Part of that's attributed to investor sentiment and demand for the product. But a lot of it is due to the slower market conditions and that you can buy backdated gold Eagle's cheaper than you can buy new Eagle's from the mint and that's taking a little bit of -- that's taking production away from the U.S. mint on new coin. So, we are transitioning a little bit in a different environment that could switch and there are already secondary coins available and all the demand is going for new product. But we feel very comfortable and we feel confident that we're doing a great job right now of navigating some of these changes and some of these anomalies in our market and we feel like we have a really good handle on what's going on in the marketplace and we see increased activity from customers who haven't ordinarily dealt with us over the last couple of years. We are seeing a lot of new customers using our portal for online trades. And so, we really, we feel like we're really grasping the market and we feel like we in spite of this we had some one-time charges this quarter, but we feel like we're running the business very efficiently and we feel like we're running the business smart.
Mitch Almy: Okay. Thank you. One last question and that's it. You alluded a couple times to the kind of the slack demand and I am unaware of any other company constructed like yourself. But if I were to look at the next best company or the next place I could look there would be a proxy for industry conditions that you're experiencing. Who would I look at, what would I look at outside of just the price to gold?
Gregory Roberts: I mean, I think it comes down to again, it's not directly correlated. But I think it comes down to what is the demand in the marketplace for the new U.S. mint products. Keeping in mind what I just explained about an abundance of secondary product available right now, I will say that although the mint numbers are down. A-Mark's percentage of what the mint is selling to us is up. And how we reflect market share is we know if the mint makes 10 million ounces of silver and we buy 35% of it that's one thing, if the mint makes 1 million ounces and we buy 46% of it we know that we are getting, we've taking advantage of somebody else not buying that metal because the customers are coming to us. I don't have an exact proxy as it relates to a different company, I mean my competitors unfortunately don't tell me exactly what they're doing or how they're doing. So, I can't really see that. Historically others have used the comparison of INTL [ph] as a company that is public, that is somewhat similar to our model. But to be quite honest, we are very familiar with INTL and we might only have two to three products out of 20 that each of us have that are actually crossover. So, they do a different business than us and they don't do some of the same things we do. So, I don't have a good comparison I just -- we're finding that we just - we seem to be the first call on customers who haven't called us for a while and once we get back to where customers that have may be moved on to one of our competitors gets back to making the first call to A-Mark, we rarely lose that customer once we get them. And I think there's a conscientious effort right now on the desk that if in this environment, if a client calls and wants to do business with us we're going to get the sale no matter what. We will, if we sell them five different products on a ticket we'll break even on four products to make money on one of the products. And I think that's just a mindset that we believe there is opportunity right now to grow our market share and get market share and we just are off the position right now, we want the business we don't want to turn customers away. And that's our strategy right now, whether those customers -- it's our job then when the market picks up and when customers' orders are bigger it's our job to keep them. But we believe that right now is a good opportunity to make sure that if there's customers out there that have done business with our competitors in the last year or two and they're giving us an opportunity to do business with them we will.
Mitch Almy: Sure. Thanks for your time.
Gregory Roberts: Sure.
Operator: Thank you. Our next question is coming from Greg Eisen from Singular Research. Please proceed with your question.
Greg Eisen: Thanks, and good afternoon gentlemen. You said earlier that you saw an increase in a trade ticket volume through your online portal. But these tickets were at a lower unit price, the dollars per trade. Do you experience a better gross margin on the small trade tickets and is it material to your overall gross margin?
Gregory Roberts: No, I think that what the portal allows customers to do is to place smaller orders more frequently. Historically, A-Mark would have order minimums for live orders on our trading desk and we realized we lost some customers to competitors who were willing to take smaller orders and let's just call it 500 ounces of silver or 100 ounces of gold may have been a historical quantity point where A-Mark would take those orders on our live desk. Today we may have a customer buy 50 ounces on the portal and they'll buy 50 ounces every day for 10 days to get to the 500. So, what was historically one ticket for 500 ounces is now 10 tickets for 50 ounces. We believe that that's a service that our customers want and need in particularly slower market conditions. They don't want or cannot afford to say inventory, 200 ounces of gold. They only want to buy when their customers have ordered from them. So, we're very optimistic and we've seen great progress just in the last 12 months for these types of orders and we anticipate that when the market is more active we will be able to handle much larger tickets and much larger orders and gross sales with the same amount of live traders because they'll be working in conjunction with the portal. So the live traders will be able to focus on the bigger orders and the portal will take care of the small orders. So, we believe we're really well positioned with the portal right now. One of the things we're working on and we're very close to is 24/5 portal access for customers, which we believe we can launch in the next 45 to 60 days where we will be able to offer portal ordering to clients automated 24 hours a day five days a week. So, these are all things we're investing in right now that we believe get them up and running when things are slow and the results will be exponentially better when the market picks up.
Greg Eisen: If you look back to the last time you had very high volatility and volume surge in the business, which is I guess the first quarter of the first quarter in September 2015 I think it was.
Gregory Roberts: Yes. But the calendar year, calendar quarter three of calendar 2015.
Greg Eisen: Yes, right. September quarter of 2015. Was the portal active at that time?
Cary Dickson: Yes, it was. But there were fewer customers on the portal at that time.
Gregory Roberts: It was in more of a testing phase at that time. We may have only opened it up to five or ten customers. So, we were still working through it and getting it up. But yes, it was available to customers in that time.
Greg Eisen: Okay. I understand that you understand my reasoning for asking that. Turning to the overhead, you had basically one month's worth of overhead additional overhead from Goldline. Could you give us some guidance as to kind of what the proper run rate may be for the company on a combined basis with Goldline in there for full three months? Yes, three months.
Gregory Roberts: We believe that their OpEx right now is running in the neighborhood of a $1.5 million a month, $1.3 million to $1.5 million. We believe we can get that number closer to a $1 million within the next three to four months. So, that's something we're working on right now.
Greg Eisen: Understood, understood. Okay. I appreciate that. And then having said that, you said in the prepared remarks that it doesn't look like Goldline will want to settle on basis to be profitable to the company in the December quarter. Would you care to speculate how things look for March, could we see it turn from red ink to black ink in the March quarter?
Gregory Roberts: I would. Yes, I think that's a possibility like I explained earlier. It doesn't take a lot to make things happen there, it's the beauty of why we love the business and the direct knowledge we get of what these customers are doing and how they're reacting and what they're reacting to. I think that even with a much higher overhead of $1.3 to I think $1.4 that we saw in September, the month of September which is reflected in this quarter that we're reporting on right now. We had - September was a very good month even with the higher overhead. Our goal is to take advantage of those opportunities with a lower overhead if we can and that's predominantly managing some of the advertising expenses. One thing that I will say of note is that Goldline is an advertiser on the internet and a big advertiser on the radio. You'll find them on a number of conservative radio stations. A lot of their contracts run from December to December and the contracts that they're currently in were signed and negotiated prior to the election last year. And as we've said before the election has changed things in the precious metals environment. So, we are one of the things that -- our job right now is to make sure that we manage the cost of spend on advertising to find the sweet spot of how much and what to pay for the spaces and the advertising that Goldline is doing and we believe that there's a bit of an imbalance right now as it relates to what these contracts, the environment these contracts were negotiated in and what we're paying in November and December. So, our job what we want to do and what Goldline's management is trying to do is just to make sure they size there marketing expense versus what their return is and as well as what is the environment 28 days out of 30 in the month. It doesn't mean that there is not going to be two great days, but we want to manage this to the lowest day of the month and not the highest.
Greg Eisen: Understood.
Gregory Roberts: So, that is some of the work we're doing right now and as well as I've said earlier, we were taking a very close look at their gross profit margin and just making sure that they are competitive in the marketplace and that hopefully A-Mark's ability to be their sole supplier and to supply them with product at more advantageous price and as well as less carrying cost of owning their own inventory will result in a more competitive markup for Goldline as well as being at a price that they can be more competitive against their other competitors.
Greg Eisen: I see. Do you expect to sign a new round of one-year contracts or it will be a different period?
Gregory Roberts: I think that historically the contracts have been signed on a 12-month basis, December to December. At least that's what we're seeing historically. But I want to emphasize that the view, the political view today is different than it was in October of last year and that the -- most of the precious metals buyers at a retail level particularly Goldlines customers are following a more conservative radio or TV host. And you know that they're draw and their base just may not be today what it was 12 to 18 months ago. So, I think A-Mark being involved and A-Mark's purchase here one of the areas we've identified is. I'm making sure that we look smartly and carefully at what the historical cost have been. And just make sure that we're paying the appropriate price per customer lead in the customer transaction.
Greg Eisen: Right.
Gregory Roberts: And I believe that maybe over the last 12 per lead or cost per customer has favored the media provider more than its favorite Goldline.
Greg Eisen: Sure, understood. Someone's got to pay Russia's ridiculous salary. My last question.
Gregory Roberts: Well, I don't mind paying his salary as long as he delivers customers at the right price. I mean he's delivering customers at $1000, it's a lot different than at least delivering customers at $200.
Greg Eisen: Tell him we are putting him on commission.
Cary Dickson: I did though, I have suggested that.
Greg Eisen: I guess my last question is totally separate. You talked about buying inventory at a discount because there is this product that is coming back to the market older dated say American Eagle's and you are able to get it at a discount, so you are essentially buying it cheaper than what you could buy it for a new - from the mint. When you do that, are you able to successfully hedge that purchase price? Is there a way to hedge it and is there a way to lock in the spread discount at the time of purchase to make it essentially?
Gregory Roberts: We're able to lock in the price of gold and hedge that. So, as a quick example, if gold is at $1300 an ounce, the cost from the mint for brand new coins, the U.S. mint in particular is about $40 an ounce. So, we're paying about $1340 for one-ounce new Gold Eagle. You can buy secondary coins in the market today for about a $20 to $25 premium. So, it's doesn't sound like a lot but it's $15 and it's causing demand and it's causing customers you maybe historically said, I will only buy new coins they are now willing to take the price discount and take a 2016 dated coin as opposed to a 2017 dated coin. The other thing that is happening as we've seen on a sporadic basis is there are sovereign mints around the world, not the U.S. mint. But there are sovereign mints around the world that might even discount new coins right now just to get them sold going into the end of the year because we are going into a date change and that historically has affected demand a little bit where demand picks up for the new coins these would be 2018 coins. So, we're basically just -- we can't really hedge that $30 or $40 premium, but we believe that our carry cost is such that we'll take advantage of that and well we believe we're smart and that we've been doing this long enough that when we see an opportunity to buy, and if our competitors aren't willing to do it and we're given the opportunity we're going to take it, because when the market turns and coins aren't available at that price anymore and it can turn very quickly A-Mark wants to be able to supply our customers. In fact, some of the new customers we are acquiring, we want to make sure that that we have product at the right price for those customers.
Greg Eisen: I just find it fascinating that, I see no difference between a 2016 snap and a 2017 snap on one-ounce gold coin but the customers treat it like last year's car out of Detroit.
Gregory Roberts: That and but just remember, I mean we probably have A-Mark offers 200 different products, they are all made with the same metal. So, I agree with you. But the market dictates what A-Mark needs to do and A-Mark's gold is to make sure that when our competitors don't have product that we have access to product and we have it at the right price.
Greg Eisen: Got it. I'll stop there and thanks for answering my questions.
Gregory Roberts: Well, thank you.
Operator: Thank you. And we've reached the end of our question and answer session. Now let's turn the floor back over to Mr. Roberts for any closing comment.
Gregory Roberts: Thank you, Kevin. Thanks everybody for joining us today. I especially want to thank our investors for their continued support, I understand that sometimes we test your patience. And I want to thank our talented employees for their ongoing contributions to build A-Mark into the global leader in precious metals trading that. You know we all believe it is. We look forward to updating you on our next call and again thank you for joining us today. And thank you for your support.
Operator: Before we conclude today's call, I would like provide A-Mark's safe harbor statement that includes important cautions regarding forward-looking statements made during this call. During today's call, there were forward-looking statements made regarding future events. Statements that relate A-Mark's future plans, objectives, exceptions, performance, events and the like are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and the Securities Exchange Act of 1934. Future events, risks and uncertainties individually or in the aggregate could cause actual results to differ materially from those expressed or implied in these statements. Factors that could cause actual results to differ include the following; the failure to execute the company's growth strategy as planned, greater than anticipated costs incurred to execute the strategy, changes in the current domestic and international political climate, which has favorably contributed to demand and volatility in the precious metals market, increased competition for A-Mark's higher margin services, which could depress pricing, the failure of the company's business model to respond to changes in the market environment as anticipated, general risks of doing business in the commodities market and other business, economic, financial and governmental risks as described in the Company's public filings with the Securities and Exchange Commission. The words should, believe, estimate, expect, intend, anticipate, foresee, plan and similar expressions and variations thereof identifies certain of such forward-looking statements, which speak only as of the date on which they are made. Additionally, any statements related to future improved performance and estimates of revenues and earnings per share are forward-looking statements. The company undertakes no obligation to publicly update or revise any forward-looking statements. Readers are cautioned to not place undue reliance on these forward-looking statements. Finally, I would like to remind everyone that a recording of today's call will be available for replay via a link in the Investors section of the Company's website. Thank you for joining us today for A-Mark's fiscal first quarter earnings call. You may now disconnect.